Operator: Good afternoon. Welcome to the Fiserv Second Quarter 2012 Earnings Conference Call. [Operator Instructions] Today's call is being recorded and is being broadcast live over the Internet at www.fiserv.com. In addition, there are supplemental materials for today's call available at the company's website. To access those materials, go to the company's website at www.fiserv.com and click on the earnings call link in the Events section of the home page. The call is expected to last about an hour, and you may disconnect from the call at any time. Now I will turn the call over to Peter Holbrook, Vice President of Investor Relations at Fiserv. Thank you. You may begin.
Peter Holbrook: Thanks, Angie. Good afternoon, everyone, and thank you for joining us on our second quarter earnings call. Joining me today are Jeff Yabuki, our Chief Executive Officer; Tom Hirsch, our Chief Financial Officer; and our Chief Operating Officer, Mark Ernst. Our remarks today will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We will make forward-looking statements about, among other matters, adjusted revenue, adjusted internal revenue growth, adjusted earnings per share, adjusted operating margin, free cash flow, free cash flow per share, sales pipelines, acquisitions and our strategic initiatives. Forward-looking statements may differ materially from actual results and are subject to a number of risks and uncertainties. Please refer to our earnings release, which can be found on our website at fiserv.com, for a discussion of these risk factors. You should also refer to our earnings release for an explanation of the non-GAAP financial measures discussed on this conference call and for a reconciliation of those measures to the nearest applicable GAAP measures. These non-GAAP measures are indicators that management uses to provide additional meaningful comparisons between current results and prior-reported results and as a basis for planning and forecasting for future periods. Also, please mark your calendars to attend our Annual Investor Day, which will be held in New York on Tuesday, October 9. We plan to send out invitations later this summer, and you may also follow up with our Investor Relations team for additional information. I will now turn the call over to Jeff.
Jeffery Yabuki: Thanks, Peter, and good afternoon, everyone. We again generated strong earnings growth in the quarter, with adjusted EPS increasing 13% to $1.28 and is up 15% to $2.48 for the first half of the year. Adjusted revenue increased 3% in the quarter and 4% through June 30. Adjusted internal revenue growth was 1% in the quarter and is 2% year-to-date. Adjusted operating margin was 29.3% in the quarter, consistent with the prior year, and up 60 basis points sequentially. Adjusted operating margin has increased 20 basis points to 29% year-to-date, led by very strong performance in the Financial segment. Free cash flow increased 26% in the quarter to $115 million compared with the second quarter of 2011, driven by growth in operating earnings and favorable shifts in working capital. Year-to-date, free cash flow is down 11% to $298 million, primarily related to higher tax payments. Strong sales in the quarter led to the second-highest results in the company's history.  Only the fourth quarter of 2011 was higher. On balance, we're pleased with the results for the first half of the year, which are in line with our expectations. We continue to expect and are on track for stronger second half results, which should lead to another year of solid growth and financial performance. That said, we do recognize that there is more variability in our results this quarter than is typical, which merits further explanation. There are 3 areas, 2 of which are generally timing-related, which impacted our second quarter results. First, the timing of license and termination fees pressured our second quarter growth rate by just over 1%. A swing from the first quarter's results, which had been positively impacted by just under 1%. And although these types of revenue are less than 5% of the company total, on the margin, a few million dollars can move the growth rate in a quarter. Second, we were impacted by several large intricate client implementations, primarily in our online channel business, where significant increases in scope and project duration shifted the timing of revenue from this period to out over the next several quarters. The last is the impact of several unusual bill payment deconversions, primarily Wachovia, which we have discussed for a couple of quarters within the Payments segment. These impacts were largely anniversary-ed by the end of the third quarter. The cumulative impact of these items on the company's internal revenue growth rate in the quarter is approximately 2.5 percentage points and approximately 1 percentage point for the year-to-date. The majority of the impact is in the Payments segment. These items are also compressing margin commensurately. Tom will provide more color in his discussion of our financial results. As we shared at the beginning of the year, we are focused on 3 key enterprise priorities in 2012 which more fully represent our formula to create sustainable shareholder value. First, to deliver an increased level of high-quality earnings growth and meet our revenue commitments. Next, to center the Fiserv culture on growth, leading to more clients, deeper relationships and a larger share of our strategic solutions. And third, to deliver innovation that increases differentiation and enhances results for our clients. Revenue growth in the quarter and year-to-date was driven by steady increases in recurring revenue across a number of our traditional businesses, including debit, account processing and lending. The operating leverage in these recurring revenue businesses combined with the continued progress of our operational effectiveness initiatives resulted in 4% growth in adjusted operating income and 20 basis points in margin expansion in the first half of the year, despite the second quarter impacts I just discussed. Adjusted EPS through June 30 has increased 15%, and we're on track to extend our streak of 26 consecutive years of double-digit adjusted EPS growth. Our focus on enhancing our growth culture led to strong sales performance in the quarter. As you know, we announced a deal today with TD Bank, which is the largest electronic bill payment win in our history outside of the Bank of America transaction in 2000. This competitive takeaway highlights the product advantages and network scale that will allow TD to provide world-class bill payment and e-bill services to their customers as part of a differentiated online experience. Increasingly, the largest financial institutions in the U.S. are turning to Fiserv for an integrated suite of our leading channel and payment solutions to help them harness the power of the digital movement. Speaking of which, we're making great progress adding scale to our new solutions such as P2P, where we have now signed 14 of the top 30 banks in the U.S. and a total of over 1,600 institutions. Our P2P sales pipeline with leading banks and credit unions continues to be very strong. We signed over 400 bill payment debit P2P and mobile banking clients in the quarter, driven largely by existing relationships in our market-leading account processing client base. We now have over 1,100 clients signed for Mobiliti, with over 750 live as of June 30. As users and transactions accelerate, this should have an even larger positive effect on our revenue growth rate. We had a great quarter against our priority of delivering differentiation and innovation that leads to better results for clients. In June, we successfully combined our 2 P2P products, creating a single integrated solution and network under the Popmoney brand, along with enhanced functionality and multiple payment options. In addition, Popmoney is now integrated and available within the CheckFree RXP payment suite and used at more than 3,800 financial institutions. Within the currently signed Popmoney network, we have the potential to access more than 40 million online and mobile banking relationships across those 1,600 institutions. There is continuing optimism around the financial industry's desire to drive value to consumers and small businesses through a well-featured P2P solution and scaled network. We have dedicated significant resources to this integration and are pleased with its success. We also launched our ASP version of Relationship Advance at a regional bank in the quarter. As you may recall from last year's investor conference, Relationship Advance is a deposit-based lending technology solution that enables financial institutions to offer their customers small-dollar loans through Online Banking at a much lower cost than would be available in traditional channels. The ASP-based system streamlines the process, provides immediate customer approval and funding, and offers flexible pricing and repayment alternatives. Lastly, TruStone Financial Federal Credit Union went live on Acumen, our next-generation credit union account-processing solution in early July. Their new integrated core account system includes a suite of channel and payment solutions reaching its more than 60,000 members, such as Corillian Online, Mobiliti, Popmoney and CheckFree RXP. The success of the TruStone conversion, especially given the complex integration of about 30 internal and external solutions, is a significant milestone for Acumen in the U.S. market. With that, let me hand the discussion to Tom, who will provide more detail on our financial results.
Thomas Hirsch: Thanks, Jeff, and good afternoon, everyone. Adjusted revenue increased 3% in the second quarter to $1 billion and increased 4% in the first 6 months of 2012 to $2.1 billion. Adjusted internal revenue growth was 1% in the second quarter and 2% year-to-date. As Jeff highlighted earlier, there were timing impacts in the second quarter, with license and termination fees, revenue related to large customer implementations and also lower bill payment revenue, primarily attributable to the Wachovia deconversion. Adjusted earnings per share increased 13% to $1.28 in the quarter and has increased 15% to $2.48 through June 30. The Q2 earnings-per-share results exclude a positive discrete tax benefit of $0.10 per share that was recognized for GAAP purposes. This adjustment results in a full year rate which we believe is more indicative of our expected annual adjusted effective tax rate. Adjusted operating income was $302 million in the quarter, and adjusted operating margin was 29.3%, consistent with the second quarter of 2011 and up 60 basis points sequentially, which is compelling, considering the 80-basis-point negative impact in the quarter related to the decline in license and termination fee revenue. For the first 6 months, adjusted operating income increased 4% to $598 million, and adjusted operating margin improved by 20 basis points to 29% compared with the prior-year period. Now onto the segment results. Adjusted revenue in the Payments segment increased 4% to $538 million in the quarter and increased 5% to $1.1 billion in the first 6 months of the year. Adjusted internal revenue growth was 1% in the quarter and 2% through June 30. Card services and output solutions continued to drive revenue growth, both in the quarter and year-to-date. This growth was partially offset by a reduction in bill payment revenue attributable to the deconversion of Wachovia, a core competitor that formerly resold CheckFree, and 2 remittance-only clients, which negatively impacted revenue growth in this segment by approximately 150 basis points. Excluding the impact of the bill payment clients I just mentioned, bill payment transactions increased 3% in the quarter and were up 5% year-to-date. At this point, the substantial majority of the comparable bill payment grow-over is behind us. The combination of our recent large CheckFree RXP wins and a strong pipeline of new deals should boost the revenue growth rate nicely in this business. Also, the timing of software license revenue, large services implementations and Durbin implications in our biller business negatively impacted year-over-year segment revenue growth by approximately 160 basis points. This combined with the bill payment deconversions had a combined impact of more than 3 percentage points on the Payments segment growth rate in the quarter. Debit transaction growth of 16% in the quarter and 17% year-to-date was a result of better-than-market transaction growth as well as the on-boarding of new clients. We added 93 new debit clients over the first 6 months of the year, roughly on par with last year's level. Renewal activity has remained strong, car growth has continued, and volume growth kicked up in July compared with the second quarter. As Jeff mentioned, we successfully integrated our P2P solutions onto a single platform in the quarter. P2P comparable transaction growth was 123% and 124% in the quarter and year-to-date, respectively. Although we are seeing strong demand by financial institutions to add P2P, there have been delays in the FI implementation queues and their time line for installation which is impacting revenue. To-date, P2P has yet to meaningfully contribute to our revenue growth. Operating income for the quarter was $160 million in the Payments segment compared with $164 million in the second quarter of 2011. Year-to-date operating income was $321 million compared to $320 million in the prior year. Adjusted operating margin was 29.8% in the second quarter, down from 31.7% in the comparable quarter and up 30 basis points sequentially. On a year-to-date basis, adjusted operating margin for the segment was down 140 basis points. Operating margin was compressed in the quarter due to the timing of license and services revenue, implementation cost, expected dilution from the acquisition and integration of CashEdge and the impact from bill payment deconversions. These items had a combined negative impact of more than 200 basis points on segment margin in the quarter. Revenue in the Financial segment increased 1% to $502 million in the quarter compared with the prior year quarter. Year-to-date, adjusted internal revenue growth accelerated to 3% compared with 2% in the first 6 months of 2011. We are pleased with the increase in recurring revenue and higher growth rate in the segment, driven by our account processing and lending businesses. The timing of license and termination fee revenue negatively impacted the second quarter growth rate by approximately 140 basis points while positively impacting the first quarter growth rate by about the same percentage. Year-to-date, the combined license and termination fee revenue in this segment is roughly flat to the prior-year period. We anticipate a stronger second half of the year for license revenue based on our historical performance and current pipeline. Volume reductions in our item processing business have impacted revenue growth, both in the quarter and year-to-date, by approximately 1 percentage point. Operating income in the Financial segment was up 7% in the quarter to $163 million. And operating margin expanded by 170 basis points to 32.5%. This performance is exceptional, given the drag on margin in the quarter from a decrease in higher-margin license and termination fee revenue. On a year-to-date basis, operating income was up 8% to $314 million, and operating margin increased 140 basis points to 31.3% compared with the prior year. Each of the major businesses within the Financial segment contributed to the margin expansion, demonstrating the operating leverage inherent in our business model. Continued progress in our operational effectiveness initiatives also had a positive impact on margin in the quarter. The operating loss in the corporate segment for the second quarter was $21 million and increased by $5 million over the first quarter of 2012, primarily due to the timing of marketing expenses, including expenses related to our client conference, held in the second quarter. As you know, we have been keenly focused on reducing our tax rate, which has gone from over 38% a few years ago to an effective tax rate for the first 6 months which is substantially lower. As we mentioned, the adjusted results in the quarter exclude certain positive discrete tax benefits related to prior years totaling $14 million or $0.10 per share. This adjustment results in effective tax rate for the full year of approximately 36%, which we believe is more indicative of our expected annual effective tax rate going forward. We anticipate our tax rate for the remainder of the year to be approximately 37%, which does not include any potential benefit from the renewal of the R&D tax credit. Net interest expense has declined $12 million year-to-date versus the prior year, primarily associated with lower overall interest rates. In addition, year-to-date investment income was $6 million in 2012 and 2011. Free cash flow for the first 6 months of 2012 was $298 million, a decrease of $37 million from the prior year, which is primarily due to higher tax and incentive payment accruals paid in the first half of 2012. Free cash flow in the second quarter was back on track, increasing by 26% compared with the prior-year quarter, as we benefit from earnings growth and the reversal of some unfavorable shifts in working capital experienced in recent quarters. Total debt at June 30 was $3.4 billion or 2.4x trailing 12-month EBITDA. We expect to finalize a new revolving credit facility in the near term, which will likely increase our revolver capacity from $1 billion to as much as $2 billion and extend the maturity to 2017. We expect to reduce our ongoing interest cost and spread compared to our current facility. We intend to pay off our $1.1 billion term loan, which is due in November, using a combination of financing sources, which may include utilizing a portion of the new revolving credit facility. We only had $20 million drawn on the facility at the end of June. We repurchased 2.1 million of shares of stock in the quarter for $143 million, and year-to-date, we have repurchased 5.8 million shares for $388 million. As of June 30, there are approximately 9 million shares remaining under our existing share repurchase authorizations. With that, I will turn the call back over to Jeff.
Jeffery Yabuki: Thanks, Tom. Sales in the quarter were strong, with quota attainment of 117%, 22% ahead of last year's second quarter, which was a record level at that time. Through the first half of 2012, on a straight-line basis, we're at 90% quota attainment. Our qualified pipeline, which includes a wide range of solutions across all-sized institutions is well above where it was a year ago. We are on track to meet our annual sales target. Integrated sales also improved in the quarter, increasing 38% sequentially to $44 million, with Payments and channel solutions again experiencing the highest demand. Through the first half of the year, integrated sales were $76 million or roughly 38% of our annual target. Similar to the last 4 years, we expect stronger integrated sales in the second half of the year and believe we are on track to achieve our annual objective of $200 million. We achieved $14 million in cost savings in the quarter and $27 million in the first 6 months of the year, 68% of our annual target. We're well positioned to meet our operational effectiveness objective for the full year. Before I update you on guidance, I will comment briefly on the environment. Regulatory actions have continued to decline in both frequency and asset size. There have been 46 regulatory actions through July 27 compared to 77 actions during the same period last year. Total assets of the impacted institutions are down by about 2/3 to just under $10 billion. In a repeat of last summer, the Eurozone crisis is once again front and center in the business headlines. Although this volatility is part of our client discussions, it has not had a direct impact on our business. Less than 2% of our revenue comes from Europe, and the majority of our European revenue is based in countries least impacted by the crisis. We are also seeing FIs consider the impact of increasing pressure in Asia as that part of the world grapples with the implications of slowing growth. The market environment for financial institutions in the U.S. remains generally stable, with regulatory and economic pressures presenting growth and profitability challenges which we believe are likely to persist. Our market conversations are centered on a variety of technology solutions that build and support revenue, enhance customer loyalty across all channels and bridge efficiency. These themes are evident in our product prioritization, sales results, and are well represented in our pipeline. Turning to guidance, we continue to expect stronger second half of the year, and more specifically, we believe absolute performance will peak at year end, as we have seen over the last several years. We anticipate adjusted revenue to increase 4% to 6% and adjusted internal revenue growth of 3% to 4.5% for the year. Given our strong EPS performance in the first half of the year, we are increasing the bottom end of our expected EPS guidance range $0.04 and now expect adjusted earnings per share of $5.08 to $5.20, a range of 11% to 14% growth for the year compared to $4.58 in 2011. Given the timing of certain sales wins and the impact of a few of our larger implementations, we now expect adjusted operating margin for 2012 to increase in a range of 30 to 60 basis points for the full year versus 2011. We continue to expect free cash flow growth of 8% to 12% and that free cash flow per share will be at least $5.70 for the year. We've made strong strategic progress and remain bullish on our growth prospects for the remainder of the year. Our business model continues to generate consistent financial results, and recurring revenue from our new solutions is beginning to come online. Based on the combination of our current results, macro trends which support our product strategy, and the richness of our sales pipeline, we have solid momentum going into 2013. Of course, none of this would be possible without the incredible commitment of our more than 20,000 associates around the world, which provide me even greater confidence in your company's future. With that, Angie, let's open the line for questions.
Operator: [Operator Instructions] Our first question comes from Bryan Keane from Deutsche Bank.
Bryan Keane: Jeff, looking at the guidance, obviously, the back half of the year looks to be stronger.  I guess, the 3% to 4.5% organic growth target is out there. To get to that high-end of 4.5%, it looks like you would do 6%-plus or over 6% internal organic growth. Just curious what might be out there.  Are there some big, chunky revenue streams that we should expect in, probably, sounds like in the fourth quarter?
Jeffery Yabuki: Yes, I mean we -- last year, we had, and Tom can fill this in, I mean, last year, we had a very strong fourth quarter, as I'm sure you recall, significant gains in license revenue. And just given the spending patterns of the last couple of years, we have no reason to believe that, that won't recur again this year. Of course, last year's fourth quarter was quite strong, and even though we think absolute performance will peak in the fourth quarter, given last year's third quarter, it's altogether feasible that the percentage increase in revenue growth itself on an organic basis will be stronger in Q3 than Q4. But there's a lot in the sales pipeline, as I mentioned. And to some degree, it's hard to predict when some of these transactions will come in or not. And so there's a little bit of lumpiness to that, that and some of the points Tom was talking about, just in terms of when some of these larger implementations come online. Those are the 2 -- those are really the big variables going into the second half of the year.
Thomas Hirsch: And I think the other thing as we talked about is we are going to benefit from some of the annualization in the bill payment business, as we highlighted. And that's going to be another important factor as we look to the back half of 2012.
Bryan Keane: Okay. And just want to be clear, the adjustment to the operating margin expansion was due to some delays in implementation? I just want to make sure I got that one right.
Jeffery Yabuki: There's a couple of things going on there, Bryan. I think one of the things is the -- is both a delay in the implementation, and we have incurred some higher costs. These are very large online banking transformations in some of these larger products -- projects. So our costs have been a little bit higher. The revenue has expanded in these multiyear agreements, so that is a good thing, but our costs have also been a little bit higher also.
Bryan Keane: Okay, and then just last question for me, I know at the Analyst Day last year, we talked about network revenues being $15 million this year, Mobiliti $30 million, CashEdge $80 million, just curious to know if those innovation-based solutions are still on target this year, given what you've seen, maybe a few delays out there in some of the FIs?
Jeffery Yabuki: Yes, I would say that the mobile is looking quite strong. The network is looking, actually, very good, certainly given some of the -- some of what's going on out there, so we feel quite good about that. And I would say that we've made a little bit of a conscious decision within CashEdge to focus more energy on technical and product integration, and that was really on the basis of we saw some delays earlier in the year where the market was really waiting for us to communicate what we were going to do and then integrate against that plan. And so we've done that.  As we mentioned, we went live in the second quarter, so we're -- we now have a single Popmoney network out there. However, the implication to that has been, really, that sales were a little bit slower than we thought. And then after we sell it, it obviously has to move into the implementation queues of the client. So I think, I suspect that we will see the CashEdge revenue being a little bit lower this year than we originally anticipated. But in fact, the sales momentum and, therefore, the revenue momentum we see coming -- going into next year will likely be higher than we would have seen otherwise.
Thomas Hirsch: And I think just to add to that, Bryan, the -- we kind of highlighted in our comments, we've now signed 14 of the top 30 banks in the U.S., and our pipeline P2P is exceptionally strong. And the implementation queues at our clients, we do run into a client resource constraint from that standpoint, too, but the implementation queue is strong, and I will comment also on mobile that, that business continues to ramp up a very nicely, and that is clearly going to have a good, positive second-half impact this year compared to the first half as those clients continue to come on. So we're very bullish in the Mobiliti space, and that's going very well.
Operator: Glenn Greene from Oppenheimer.
Glenn Greene: I guess maybe just a little bit more color. It sounded like, if I heard you right, the sales growth in the quarter, at least year-over-year, was something north of 20% year-over-year, which sounded a little surprising to me, given the environment. Obviously, maybe there were some pent-up demand, given sort of the sales growth wasn't great in the first quarter. But maybe a little bit more color there. Also was the Toronto Dominion deal included in the quarter? And also maybe just a little bit more color on refreshing the pipeline, given the strong sales results in the quarter.
Jeffery Yabuki: Sure. So we did -- when we announced earnings in the first quarter, we indicated that even though the numbers were little bit lighter than people were probably anticipating, even though we had a record Q4 of '11, that we felt we were on track, and I think our second quarter results show that. Clearly, the TD Bank deal, is -- it was closed in the quarter, and that is included in our numbers. And so a deal of that stature is certainly helpful, and with that deal has been in process for quite a while. And in fact, it was -- it closed a little bit later than we actually originally anticipated. So that was in our number, but we also commented on the fact that our pipeline, even with the strong quarter we had, is actually well above where it was at the same time last year. So even though the environment is kind of -- remains a little bit muted, the solutions that we have been developing and the products that we have been delivering into the market are not at all muted. And in fact, the TD deal itself is really, I think, a testament to the need to -- for institutions to deliver kind of the best possible digital experience, which encompasses both online and mobile. And if you have a great mobile solution but you don't have a wonderful bill payment solution, you're not going to be delivering the most value. And the same thing applies to products such as P2P, products like online account opening, account transfer, risk, fraud, all of that, right, that market is moving very, very quickly. And in fact, to the point that Tom was talking about in his section around these  online transformational deals, one of the challenges that you have in those deals is the market is moving so fast, people are changing their minds and adding requirements and features and functions, which is good news, but it is having an impact on those -- on the completion of those transactions. But the bottom line is, is in those areas, Glenn, where we have been investing, we really have very good macros behind that, as well as those products are surrounding even our core processing solutions, and we're seeing good momentum in that space as well.
Glenn Greene: ; All right. And on the TD deal, are you -- when -- what's the timing of the conversion, and are you sort of going to get any benefit from revenue in the back half, and does that, maybe, to follow up on Bryan's question, help explain some of the organic growth acceleration in the back half?  Or is it more of a '13 revenue benefit?
Jeffery Yabuki: That -- given how late in the year this was completed, that will be a '13 impact to our revenue line. But again, as Tom talked about, as far as the acceleration of the organic growth, one of the things Tom talked about to keeping in line with the topic was the bill pay deconversions. So something like Wachovia, which will fully anniversary this quarter, just by virtue of the fact that you're not growing over that compare will do wonders for the internal revenue growth rate.
Glenn Greene: And then just quickly, Tom, maybe -- you went through a lot of this, but the 190-basis-point drag on payments margins, what were the 2 or 3 sort of major sort of stand-out items that...
Thomas Hirsch: Well, we clearly have the bill payment, all right, year-over-year drag of the Wachovia. We talked about the remit-only, that's a piece of that. We also had a decline in the quarter and some license fees in that particular segment, which was the other piece. And then as I talked about, really, timing of these license and services around the implementation. So these larger Online Banking deals, those have kind of had some timing from a standpoint of pushing out more into the second half of this year versus in the current quarter. And that's also going to benefit us well as we go into the second half of the year, but those were the major points. And the only thing I'd add, I think Jeff had a comment around the pipeline earlier, Glenn, and notwithstanding the TD deal, which is now closed, our bill payment pipeline continues to be robust, which is really a good sign in that particular business, even after closing that transaction.
Operator: Ashwin Shirvaikar from Citigroup.
Ashwin Shirvaikar: So I guess my first question is in terms of the increase in scope and complexity of your contracts, some of your contracts, are these milestone-based or percent of complete, I mean, how should we think of the implementation-related revenues? And maybe can you give us an example of what are the new things that clients are asking for in terms of increased scope?
Thomas Hirsch: I'll take that one, Ashwin, I think, and then Jeff will add to it.  But clearly, and these are specifically when we talk about complexity, right, we have a number of areas in the company where that's at.  Primarily what we're talking about is in our digital channel space in the Online Banking implementation. And we have a number of large ones that are going on in that particular area, which are license- and services-based. And those can be multiyear, percentage-of-completion-type engagements, depending on how much the scope moves, and we've had certain of them where that scope has increased, the contract value has gone up substantially. But it's going to take longer, and that's how those are recognized over that period of time. And that's the primary area, it's not across the entire space. And then we have certain deals in our Acumen where we have a lot of integration with a lot of different solutions where that will be applicable.
Jeffery Yabuki: And, Ashwin, to your point on the kinds of things that are being added, you've got everything from the creation of a fully featured account aggregation landing page to a payment dashboard to the addition of services.  So I'd like to be able to allow clients to have P2P where it wasn't anticipated originally. So the -- and part of what's going on there is as there is more and more interaction with mobile, that is changing the paradigm for which clients had originally designed the online experience, so if you just think back, if we did a deal 1.5 years ago, and we're engaged in that, over the last 1.5 years, so much has changed that people are changing their design, whether it's look and feel or services integration, on a fairly regular basis to try to keep up with, really, the movement that we're seeing, primarily on the mobile side, as well as having even in certain situations having us maybe take on some of the mobile design and starting to linkup those experiences, which was what we had anticipated. It's just happening a little bit sooner than we had originally anticipated.
Ashwin Shirvaikar: Okay, now that makes sense. Now the TD contract, and congratulations on that, but I guess can you talk about, and maybe I missed this, when is sort of an implementation date for that?  When it starts, I would imagine, materially affecting, positively affecting your revenues?
Jeffery Yabuki: Yes, I would say, we would expect to have a measurable impact on our revenue growth rate in '13 and probably in '14. But we do expect it to be live for most of 2013, but we also know that historically, when we migrate a competitive solution, because of the level of functionality that we have in areas such as e-bill, right, kind of that deep direct connect on the e-bill side, we typically see a much higher level of take than we've seen historically, and it takes anywhere from 6 to 9 months for consumers to understand what they have and to begin using it. So we have a pretty good track record on that. So we would expect a little bit more of leaps in the next couple of years, in '13 and '14, and then have it fall back into a more normal growth rate as you would see in the larger institution. And part of that will depend on how TD Bank ends up using this as a way to catalyze their online experience. But we believe that they're going to make this central to their online and their mobile strategy. They are currently an online client of ours, and we'll look forward to working with them on that and doing a little bit more, hopefully, on the mobile side as well. So we see this to be an important expansion point for the relationship overall.
Ashwin Shirvaikar: That's good to hear. One housekeeping question.  What are you expecting the quarterly run rate for interest expense to be once you redo the term loan? And I missed the timing of that.
Thomas Hirsch: Yes, we're not going to -- I mean, we're going to be -- that will be paid off in November, Ashwin. We have a number of scenarios that we're still running. And it's going to depend how much long-term versus short-term debt we put in. It will be more cost-effective, clearly, than where we're at today from an interest standpoint, but we're going to balance both of those.
Ashwin Shirvaikar: And the debt and interest expense this quarter was unrelated, I guess, but...
Thomas Hirsch: Yes, that was -- well, it's a combination of 2 things, one, our decline in overall rates. We did have an investment gain in the quarter similar to a gain that we had in the first quarter of last year. And we've had investment income of about $5 million to $6 million year-to-date, both this year and last year.
Jeffery Yabuki: But we are benefiting from lower interest rates...
Thomas Hirsch: Absolutely.
Jeffery Yabuki: This year because of the refinancing that we did last year.
Thomas Hirsch: Yes.
Operator: Julio Quinteros from Goldman Sachs.
Julio Quinteros: Maybe for Jeff, as we think back to the Analyst Day last year, and just kind of walking through the bridge to the long-term revenue growth outlook here from last year, you guys had laid out this picture of 4% to 8% total growth over some long-term periods. Is there anything in the environment right now that you guys are seeing that would cause you guys to get positive, that type of thinking around that 4% to 8% kind of bridge to long-term revenue growth?
Thomas Hirsch: Not at all.
Jeffery Yabuki: Not at all. And in fact, I would say based on what we're seeing in the environment right now, notwithstanding the fact that we've reprioritized a couple of things, I mean, the energy around something like P2P, to the extent we get that network built right, and the importance of real-time and mobile integration in Q4, really, we are more convinced than ever that that's a game changer in terms of the growth that we would see that solution alone driving over the next several years. So from that perspective, we feel like that -- the CashEdge acquisition will be on track. The network, right, because of the integration that we are going to have with P2P and some other uses of real-time, including looking at it for options around expedited bill payment, we see our network business continuing to grow. We've -- we actually have both year-over-year and sequential quarterly growth in our network business, so that business continues to work well for us. So, and Acumen, you heard us say we're live with our first material U.S. client. So from a perspective of getting up to that bridge, we still feel very good about that, and probably, the thing that is a little bit better right now than we had -- that we were aware of when we were talking at Analyst Day last year is the bill pay momentum that we are seeing. Again, notwithstanding the discussion that Tom had on what happened this quarter, the TD deal, some other transactions in our pipeline, the energy from mobile in terms of bill pay and getting that integration, we're really seeing -- we're seeing new kinds of bill pay users come on, and we believe as mobile scales and the integration scales, that, that will help drive other growth in our existing businesses. So on balance, we probably have more conviction as we sit here today than we did a year ago in terms -- or 9 months ago in terms of driving that 4% to 8%.
Julio Quinteros: Okay. And then maybe just one last one for Tom. When we think about some of the puts and takes this year around expenses and kind of weigh that against some of the cumulative cost-saving goals and the targets that we have, do we think about that any differently in terms of the annual targets to get to that cumulative target of $250 million over the next couple of years through 2015?
Thomas Hirsch: No. I mean, I think, the only thing I'd say is we just continue to make good progress. We had a number of things that we have going on. We talked -- I talked last Analyst Day around our check processing business and the efficiencies that we're generating there. And our operational effectiveness were off to a very strong start, and that's why you kind of see some of the results that we have inside of our financial segment notwithstanding some timing that we have with some higher-margin revenue. So continue to be on track with where we're at from that standpoint.
Operator: Chris Shutler from William Blair & Company.
Christopher Shutler: If you look at the Online Banking and bill payment bases, can you just remind us maybe where you stand today in terms of penetration of the top, call it, 20 or 30 FIs?  And are there many banks other banks out there similar to a TD that might be shopping around, looking for new solutions or looking to outsource something that's currently done internally?
Jeffery Yabuki: Sure. So on the Online Banking side, we have a fairly high degree of penetration overall in terms of number of online users across our system, and certainly much of that is dispersed across a combination of community institutions and larger institutions. There are a lot of -- there's lots of room for us to grow in the online space in terms of helping folks redesign the experience. I would say that while that is a big -- it's a good opportunity, I think the bigger opportunity is really right now in mobile. That is really more -- getting much more focus within the institutions than online. They're both important, but I think people say, "Well, I have limited dollars. At this stage, I'm going to bias more to the mobile side of the house." And again, as we've talked about before, Chris, we think of mobile and online as being, to some extent, a highway, and then we have to bring as much content as we can, deliver as much content as we can across that highway. So when you think about bill pay, for example, I don't have the numbers in front of me, but I think we, today, we handle 18 -- around 18 of the top 25 institutions on our bill pay technology.  TD Bank was obviously one that we did not have. There are not a lot of TD Banks, right, TD is, I think, a top 10 bank. So there are not very many of those folks available. But what that shows is for those people who are not using our technology, given the level of savvy, right, this kind of digital savvy that exists in the minds of consumers and the level of empowerment, we're having more and more conversations. I think Tom was fairly explicit that the bill pay pipeline looks quite strong. Well, it looks quite strong because, I think, people are really saying we're at a little bit of a jumping-off point where we need to decide how we're going to manage this channel moving forward. So a bit of a long-winded answer.  There are not lots and lots of those available. But 1 or 2 of these deals make a big difference in terms of, number one, making sure that we're exposing as many consumers as we can to the technology, and number two, keeping in mind that even though we have a very high penetration at the bank level itself, the underlying consumer adoption is still quite low, right, the average adoption within a bank is still less than 20% of the DDAs. So we still have a long way to go in terms of bringing even new bill payment users on into banks where we currently are -- have a position.
Christopher Shutler: Okay, great. And then on mobile, Jeff, what is the inflection point there? I think you mentioned something happening in Q4 within integration, but can you just review that again?
Jeffery Yabuki: I think what I was talking about was on the P2P side, right, we expect to have deeper mobile integration and real-time integration in Q4. And we really think P2P is a complete game-changer when it's real time. Right? So the ability to move money real-time to anyone in the United States who has a bank account really is a different deal. And so that really is the inflection point that I was talking about. On the mobile side, while I wouldn't say it's an inflection point, we're quite pleased with what we are seeing.  Transactions are actually higher, adoption is going better than we thought, and Tom, I think, in his comments alluded to the fact that we still even have 3 -- over 300 clients who have signed for mobile that aren't live yet. So we have a good pipeline, not just of new prospects, but turning people live. And so that is not quite at a tipping point yet, but we would expect by the end of this year to have an awful lot of momentum on the mobile side.
Operator: Tien-Tsin Huang from JPMorgan Securities.
Tien-Tsin Huang: Just wanted to clarify on the TD Bank win.  Was that a remit-only client before that's going full service?  Or was this a full service this way [ph].
Jeffery Yabuki: This is a competitive client. They were not our client before, and they are going full-service RXP.
Tien-Tsin Huang: Okay, okay. So this -- all right. So this should be bigger than Wachovia at the point of conversion, I would imagine, then, given the scope.  That fair?
Jeffery Yabuki: It would be in that range. I mean, we'd have to go back and do the math, but it should be in that range, yes.
Tien-Tsin Huang: Yes.  No, that makes sense. So the license sales, you called it timing. I don't fully get that. Have these deals or any of these deals have actually closed since the turn of the quarter? And I'm curious what the visibility there could be on the license sales closing before year-end.
Thomas Hirsch: Yes, just the -- and I will comment on that, is that these license fees tend to fluctuate on a quarter-over-quarter basis. And clearly, as you know, we had a very, very strong fourth quarter last year. And first quarter was higher. Second quarter was a little lighter, but as far as the visibility goes in some of these large Online Banking deals, we have very good visibility because a couple of those are a percentage of completion. We know when those clients are going live, et cetera. So we have good visibility on that ramp-up on those deals as we hit the second half. And also the fact is that we've had some seasonality in our business with the license fees being stronger in the second half.  And that's just where we've been last year, the year before and the year before, and we're confident we're going to be there this year again.
Jeffery Yabuki: Yes, and I would say, on the -- I think Tom was talking about the Online Banking deals where we've got the visibility into when the deals are going to go live. Just want to make sure I clarified that. And then, Tien-Tsin, we do have reasonably good visibility into the numbers for the remainder of the year, of course. The irony is several million dollars can swing any time, and that stuff can move, and that's really some of what we saw happen in Q2. But we feel good about that, and that's really reflected in the size of our current pipeline.
Tien-Tsin Huang: Understood, understood. Yes, sorry to be nitpick-y about basis points, but I just want to make sure I get that clarification. Last one, I promise, just on the e-bill side, Jeff, why isn't that growing a little bit faster?  I mean, I see the Alliance Data deal, that sounds like it could be interesting. I think TD Bank, you said, was e-bill included. Is there a chance that they -- we see a pickup there with some of the things you've announced?
Jeffery Yabuki: Yes, actually, there is a reasonable chance that we'll see a pickup there. But 2 things that are going on in e-bill,  they're probably important. We actually have been running some tests on the e-bill side to understand different ways to improve the customer experience. One of the challenges with e-bill is, as I'm sure you know, in order to get the data fed e-bill, you have to be able to provide credentials and other things that allow us to work with the biller and supply that directly in, and that process has been a little clunky over the years. We've actually been working for the last year or so on improving that experience, and we've just begun to move that into production in the second quarter. And we're actually seeing some pretty good results. So that will be moved in throughout the system this year, and we believe we'll start to see some benefit there and certainly into '13. The other thing that's going on is, for people who have known the company for a long time, we have a site called MyCheckFree, where we supply e-bills basically to allow people to pay single bills for clients who have not traditionally had biller-direct sites. And that's really a legacy technology, and over the years, that -- -- those bills have been diminishing, and what you can't see, because we net the numbers out, is e-bill is actually growing on a data-set basis materially higher than you see because the decline coming out of the public site is much larger. And so we care, obviously, a lot more about the coupled e-bill-bill payment experience, but we would do report it on a net basis. And perhaps at Investor Day, we'll break that out so we can -- people can understand how e-bill is actually growing.
Operator: David Togut of Evercore.
David Togut: Can you give us some insight on the anticipated timing and -- of the BofA renewal with CheckFree, and along with that, do you expect to retain 100% of the business that you currently have with BofA?
Jeffery Yabuki: David, we didn't know how long it would take to get that question, but we're glad that we have it now. We -- as we said last quarter, we continue to work with Bank of America.  Very important client, a very strategic relationship. And we are in discussions with them on a very regular basis on what is the best way to structure our ongoing relationship. We remain optimistic about how that will unfold. I think it would be unfair for me to sit here and indicate that what percentage or not of that we will retain. As you know, today, we provide them with a complete and end-to-end experience. They have a very strong customer experience that they receive from us. We know that the online bank is extremely important to Bank of America. We know that their mobile bank is extremely important, and we know we are very important part of that strategy for them. So we continue to work with them, and we expect that before the end of the year, we'll be able to explain in-depth where that is.
David Togut: Do they have any inclination to in-source any parts of that contract?  Or are your discussions principally about price?
Jeffery Yabuki: I think Bank of America would be better served in commenting about Bank of America. I mean, you know the history well for what's happened. And I think we have proven over the last 11 years, right, the Bank of America deal was -- sorry, 12 years, was struck in 2000. We've proven to be a very strong, reliable and dependable partner for Bank of America, and we're confident that we will continue to have an important relationship with them.
David Togut: Good. And then just a couple of quick follow-ups.  Can you give us some numbers on head-to-head win rates for Acumen versus Scimitar year-to-date?
Jeffery Yabuki: We don't have -- I don't have that handy, but I feel confident we'll talk about that in Investor Day. We've continued to perform well with Acumen on a head-to-head basis with Scimitar. Scimitar is a tough competitor, right, there is no question that they do a good job and they have a nice share of that market. By the same token, we have been very, very pleased with the reception of this new technology, which is really only available anywhere in the world through us, and we believe that, that differentiation will allow us to, frankly, win more than our fair share of transactions over the next number of years.
Thomas Hirsch: And I think overall as a company, when we look at our sales results, our win rates continue to improve on a year-over-year basis on deals that we're engaged in. So we feel very good about what's going on from a sales standpoint.
David Togut: Are you, Tom, expecting a significant ramp-up in revenue tied to Acumen in the back half of this year?
Thomas Hirsch: We continue -- as I indicated, we have some implementations that are in the queue, and clearly, that's going to help us as we go into the second half of the year, and that is definitely part of that puzzle.
David Togut: Final question for me, June 30 share count?
Thomas Hirsch: I would assume, David, you would ask that. So just hang on one second here. I just got to go find where I have that. There we go. 135.6 million.
Operator: Brett Huff from Stephens Inc.
John Campbell: It's John Campbell in for Brett Huff. Could you guys just give us a little more color on maybe what drove the big processing COGS and incremental margins [indiscernible]?  Would you guys just generally characterize that as more of a -- like cost leverage or cost takeouts?  And then just maybe your thoughts on the sustainability of that going forward.
Jeffery Yabuki: You're talking about the cost of goods sold against our processing revenue?
John Campbell: Right.
Thomas Hirsch: So the efficiency there, is that...
John Campbell: Yes.
Thomas Hirsch: Okay. The biggest thing is in our Financial segment. And yes, the most effective thing we have going on there is clearly, if you look at the margins in the Financial segment, we've got a number of things, our operational effectiveness initiatives. I did talk about the check processing business, which continues to -- we continue to operate that very efficiently, and just really across the board, we've seen some good scale economics in that business. And that's been kind of what's driving the overall margins in there.
John Campbell: Okay, that's helpful. And then just lastly, if you guys can just give us a little bit more color on how Acumen is doing just kind of relative to plans at the first of the year and just kind of versus the growth in size you guys outlined at your Investor Day?
Jeffery Yabuki: Yes. Did you say -- John, did you say Acumen?
John Campbell: Yes.
Jeffery Yabuki: Okay. Acumen.  Our most important priority for 2012 was making sure that we had 1 or 2 showcase clients that feel great about the technology that people can go visit and see the power of the solution. And so TruStone was our first one. That's great. Those folks were taking reference calls within days of the implementation. So we feel like we are on track on that front, and we will continue to build momentum in that area. That said, this is a brand-new core, right, that is -- Tom was talking about areas of complex implementations. This is -- given the architecture and the process flexibility that is inherent in this technology, it is a long and, to some extent, arduous process in terms of working with the clients to get what it is they want out of this new powerful technology. And in fact, it's likely, given the -- how new the solution is, that it will still be a couple of years before we even have credit unions who understand enough about what the technology can do that they're really getting the most out of it.  Which is not surprising. You would see that in any new technology. P2P is the same kind of thing on the consumer side. So it's -- it is doing what it should be doing at this stage.
John Campbell: Okay, great, that's helpful. And so given just the recent -- or I guess you wouldn't characterize it as recent, but the complicated integration or the more sophisticated solutions kind of being built in, I mean as you look at it from the first of the year and as you guys have kind of set your sales goal for Acumen for the year, I mean, has that changed?  Do you see revenue being pushed out of '12 into '13?  Or kind of what your thoughts are there.
Jeffery Yabuki: Yes, I would say on the sales side, we continue to be, actually, in good shape. It really is much more on the implementation time line than on the sales side, just because of the very nature of the complexity. We -- I mentioned, I believe, in the prepared remarks that TruStone had around 30 different solutions that required integration. And so that level of complexity, these are large, sophisticated credit unions, and many times, the credit unions are redesigning their own internal processes, which gets integrated into the way that we are architecting the solution for them. So it really is on the implementation side in terms of -- I'm sorry, as opposed to on the sales side. So sales, I would say we're right on track on where we'd like to be on the sales side.
Operator: Greg Smith of Sterne Agee.
Greg Smith: Just real quick to Wachovia, when exactly does that anniversary?  And what is the drag on internal revenue growth?
Thomas Hirsch: What we commented on it, primarily it's pretty much done at the end of this quarter, June 30, on that particular piece. And, Greg, what we said is the combination of those the -- those 3 or 4 remit-only, 2 of those I think we had a core competitor reseller, and Wachovia is about 150 basis points inside the Payments segment. And so that's really the drag. You can kind of compute that.  That was in the quarter.
Greg Smith: Yes. Okay, perfect. And then the bill payment transaction growth of flat, I know that excludes Wachovia, but I'm just surprised that's flat. Can you just give us some more color on what's really impacting that? It just seems like it should be higher.
Jeffery Yabuki: Yes, so there were, as Tom or as you referenced, Greg, we did back out of the Wachovia transaction volume because it's obviously significant. But we didn't back out any of the items that Tom talked about earlier, including the certain core competitor that is no longer reselling CheckFree, the couple of remit-only clients. And I think we did announce at Investor Day last year that we had lost 2 RXP clients, kind of larger, kind of mid-tier RXP clients last year. So we've not backed out any of those for purposes of the calculation. That said, that was also the case in Q1 where we didn't -- we're not at that level. And so from that perspective, where I spent my time diagnosing it, it's really 2 things: our largest clients, who maybe have a little bit of a disproportionate share of impact on the growth rate, were slower in the quarter than they were in Q1 -- sorry, slower in Q2, for clarity, than they were in Q1.  And that has a compressing effect on our growth rate. The other thing, though, is there was some kind of anomaly in the quarter. We did some pretty deep analysis on this, which wouldn't surprise you, I'm sure. And virtually every category of client, reseller, small community institution, large client, had lower growth in the second quarter than in the first quarter. And to me, that translates to, probably, a different mix of days in the quarter.  Not the number of processing days, because that we know, but a different mix of days. People pay bills differently on different days. We get those anomalies every year. It just so happened that all of these things conspired together in Q2 to get that number to be where it is. We feel -- we continue to feel good about where we are.  I have every belief that, that number will go back up to where it was, and obviously, with the announcement today, we had a couple of large bill-pay deals that we announced last year, of which at least one of them I can think off of the top of my head is going live at the end of the third quarter, so those numbers will come back up.
Greg Smith: Okay, perfect. And then nice to see you keep buying back stock at a healthy pace.  Is there anything in the acquisition pipeline that might cause you to slow down the buyback?
Jeffery Yabuki: No.
Greg Smith: Excellent. And then -- since I got a quick answer, the dividend.  Any -- and I know you get the question every quarter, Jeff, about thoughts on paying a dividend.
Jeffery Yabuki: Yes, yes. We certainly do. I should -- I guess should've answered that question a little bit slower, Greg. No, that's fair, though. We look at that on a regular basis. We have -- as you commented, right, we've been very -- we're very disciplined in buying back stock. We think that's a very efficient way to do that. And, frankly, right now, with the tax uncertainty that is in the market, we're not confident that adding a dividend is the smartest thing we could do until the tax implications of dividends are a little bit better understood. But we continue to look at it regularly, just given the free cash flow that we generate.
Operator: Kartik Mehta from Northcoast Research.
Kartik Mehta: Jeff, just your thoughts on any change in bank behavior.  Because the constant pressure there on your -- for fee income, are you seeing them look for different products or change their buying habits?  Anything that's changing because of that?
Jeffery Yabuki: Yes, I mean, you hit that nail right on the head. There is lots of revenue pressure within financial institutions to replace the gifts, the regulatory gifts that were provided. And what we're really seeing is people focused on where are those places where we can get more insights into how to sell the next-best product or what's the right way to cross sell. So a fair amount of energy around analytics. And -- but on the fee side, you really have areas like P2P, where many banks are charging for P2P and seeing reasonably good take-ups. At Investor Day, we're going to talk a bunch about how we're seeing the pricing moving in that space and how we believe banks are going to be able to actually create a very attractive stream of revenue, especially as real-time goes live on the fee side. So that's one of the reasons why we're seeing such strong success in terms of banks wanting to add that capability. Relationship Advance is another way that banks can serve a different kind of consumer that they typically wouldn't serve in a far more cost-effective way than that group of consumers would be able to get outside the network, seeing -- and seeing a lot of -- still a lot of energy on -- are there opportunities in prepaids, so just a lot of those different ways to increase revenue slowly. I mean, there's no silver bullet out there. It's really a combination of different factors, so products and intelligence. And then really looking for ways to use the channel as a way to really reduce their operating costs and other ways to create efficiency.
Kartik Mehta: And then just finally, Jeff, you guys are having a ton of success on the bill payment side, especially the TD Bank side.  Is there pricing in this -- pricing pressure in this -- in that business?  Are you having to compete with price?  Or is it that the solution you have with CheckFree and the RXP is just so much better than the competition that it's allowing you to win?
Jeffery Yabuki: So I think for years and years and years, people have talked about CheckFree and pricing and price compression, right? So for years, there was always compression in these larger agreements. And I think that has typically been the norm. So I would say that, frankly, the way that the majority of the competitors compete with the RXP product is around price. Right? And that -- and we have said very publicly that there are certain clients, right, that want things from us that -- for a price that we don't think makes sense, and therefore, we won't price it at certain levels. We believe that bill payment used right in terms of creating loyalty, creating retention, creating the use of the data and, frankly, the most fully featured best fraud-protected product in the market, we think, speaks for itself, and frankly, we believe that's why TD chose that. But it doesn't mean there isn't price out there that we deal with, and we do. But our goal is to create more differentiation in the product, especially when it becomes paired up with P2P. And we think that is one of the more important underlying connection points within the "network of money movement." Bill pay and P2P complement each other very well. They're not cannibalizing, they're complementary. So -- and again, we have the leading bank-centric online bill payment system as well as the online P2P system. So we think we're well positioned in that arena. Thanks, everyone, for joining us today. As always, if you have any further questions, feel free to contact our Investor Relations group. We'll look forward to seeing you at Investor Day in October, and thanks for the support.
Operator: Thank you. That does conclude today's conference. Thank you for your participation. You may now disconnect from the audio portion.